Operator: Welcome to the North West Company, Inc. Third Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Dan McConnell, President and Chief Executive Officer. Mr. McConnell, please go ahead.
Dan McConnell: Thank you. So, good afternoon, everybody, and welcome to The North West Company third quarter conference call. So, I'm joined here today by -- with John King, our Chief Financial Officer; and Amanda Sutton, our Vice President of Legal and Corporate Secretary. So, I'm going to start the meeting by asking Amanda to read our disclosure statement. Amanda?
Amanda Sutton: Thank you, Dan. Thank you. Before we begin, I'll remind you that certain information presented today may constitute forward-looking statements. Such statements reflect North West's current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and are subject to certain risks, which could cause actual performance and financial results in the future to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please see North West's annual information form and its MD&A under the heading Risk Factors. Dan?
Dan McConnell: Thanks, Amanda. So, let me start by outlining the key highlights of our call today. Consolidated sales in the quarter increased 6%, driven by inflation and the impact of foreign exchange. Also similar to what we've noted over the previous quarters, we continue to cycle through the COVID-19 related tailwinds from last year. This has resulted in customer sifting their spending towards food and essentials and away from discretionary and general merchandize items. These factors were the primary reasons for the changes in our same store sales. Inflation also continues to negatively impact our gross profit rate and expenses, as we've been taking a balanced approach and not fully passing through all the cost increases in retail prices, which I'll unpack for you in just a minute. The inflationary cost pressures this year combined with the COVID-19-related factors from last year resulted in lower earnings for the quarter. That said, our overall sales and earnings trends remain positive compared to the third quarter of 2019. Okay, let me provide some color in terms of the sales for the quarter. Starting with the Canadian operations, sales increased 2.7%, with food mitigating some of the impacts of lower general merchandize sales. As I previously noted, customers have reduced discretionary spending. They're not only shifting away from general merchandize to food, but they also are focusing their purchases on value items within the food categories. Sales on the international side increased 4.1%, led by overall performance in Alaska, which was mitigated with mixed results in the Caribbean and Pacific. Particularly, it's worth highlighting that the tail winds came from two factors: one, our new stores in Alaska; and two, the increase in the Permanent Fund Dividend payment, which was around $3,200 per person this year, which was -- about $1,100 paid late in Q3 of last year. And although this quarter was typically slower in terms of tourism, the year-to-date pickup in travel has had a positive effect in local economies like the British Virgin Islands. On the flip side, to certain territories in the Pacific and the Caribbean, we continue to cycle through the impact of income support payments from the American Rescue Plan last year, while tourism numbers are still below pre-pandemic levels. What was a common thread across all of our markets is that our customers have been trying to adapt the best they can to lower income support and higher inflation. Now, let me expand on this for just a minute. We are concerned about the impacts of inflation for our customers. This is a global issue that affects all regions where we operate. But this is particularly sensitive for our Northern customers in Canada and Alaska, as they are impacted by two factors. First, merchandize cost inflation. We buy products from suppliers for resale. And so, we're dependent on the prices they determine for the products. Although we continue to closely monitor all these increases and work with our vendors to minimize them, the fact is that around the world, these costs are all escalating. Secondly, more importantly, freight costs are also increasing. When we factor in higher fuel and transportation costs, the impact of inflation on the shelf prices is even greater in the North compared to Southern retailers. That's why we need to take a balanced approach in passing through these increases, which are coming through at unprecedented rates. This includes providing promotions on essential items through a Price-Drop and Price-Lock campaigns in order to help mitigate some of the impact of our customers and ensure we're delivering on our value proposition. That said, other factors affected the performance of our gross profit rate included changes in our sales blend, and increases in markdowns, as well as shrink. The shift in sales from general merchandize to food is affecting categories like seasonal and apparel, where we've incurred markdowns to clear some of the slower moving merchandize. We also experienced higher inventory shrink in the quarters, some purchase orders in certain categories were not adjusted fast enough for the changes in customer shopping behaviors. As a result, our gross profit rate was down 84 basis points this quarter. I’ll just take a minute to talk about inventory here. The increase in our inventory levels is largely due to the higher inflation in our supplier costs that I just referred to and the impact of foreign exchange, which saw an increase in the quarter compared to last year. Overall, the increase in the inventory levels was largely in center store grocery and category like motorized products and home furnishings that were impacted by the supply chain disruptions. Our expenses have also been negatively impacted by inflation in the foreign exchange rates. We're feeling most of the pressure on utility expenses. Given high fuel costs, our operations teams and all around the company have -- and have been practicing and bearing down on some of the energy conservation routines and practices. And this is just to help mitigate the impacts. But at the end of the day, we're still subject to inflation and fuel costs. Expenses related to our new stores and operations were also a factor. Okay, now, I'll give a brief talk about North Star Air. We do continue to see a recovery in the passenger business as travel restrictions have been eliminated. The cargo business also saw increases, as third-party freight and charter work bumped up the utilization of Baslers and our ATRs. Increases from fuel surges on -- fuel surcharges, I apologize, on both cargo and passengers were also a factor on the revenue increases consistent with what other air carriers have been doing throughout this inflationary cycle. I think I'll leave it at that in terms of the recap of key factors that impacted our results for the quarter. And now looking ahead, I'll just briefly -- we do expect to lap COVID-19-related impacts by the end of the fourth quarter of this year. Keeping in mind, there were still some travel restrictions and income support payments present in our markets last year in the fourth quarter. I also want to point out as a reminder that we had a $6.2 million after-tax insurance related gain in the fourth quarter last year as well. In terms of the fourth quarter of this year, the outlook continues to be uncertain, as we expect inflationary pressures to continue in the short term. Considering all these factors, our net earnings in the fourth quarter are expected to be lower than last year, but above pre-pandemic levels. Beyond Q4, macroeconomic circumstances are also difficult to forecast. There are some analysts that expect a recession next year, especially after the measures taken by the central bank to reduce inflation. The impact of a recession is difficult to forecast. However, our focus on food and everyday products and services provides us downside protection. As noted in our report to shareholders, the medium- and longer-term outlook for the company is positive, and it's based on the expected impact of government transfer payments and higher infrastructure spending in the indigenous communities. And we're excited for the future of our business. We continue to open store -- new stores. In Canada, we opened two new stores this quarter; one in Little Grand Rapids, another in Sheshatshiu, Labrador. In Alaska, we also opened two stores and we now expect to open another one before the end of the fiscal year. Overall, we've been getting great feedback from new communities where we're operating in, and they are all very excited to have North West Company store. We're also getting great reception from new communities we're currently working with to potentially expand to, which signals that we're doing the right thing and filling a need within the markets. We continue to focus across all banners on providing the best value to our customers within this high-end inflation environment, striving to deliver on our purpose of making people's lives better, and the communities that we serve. Now with that, let me open it up if there's any questions. Thank you.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Michael Van Aelst from TD Securities. Please go ahead. Your line is open.
Michael Van Aelst: Hi, good afternoon, and thank you. First question is on Canada. And looking at your same store sales down 1.8%, but then your revenues are up 2.7%, you said. Is that - how much of that is tied to the new stores? And how much of that is tied to NSA with the increased passenger business and the increased freight business, third-party freight?
John King: All right. Hi, Mike. It's John. Yeah, both of those were factors. We're not going to break out the individual components there, but they were both factors.
Michael Van Aelst: Okay. Can you say which one was more important?
Dan McConnell: At this time, it would have been North Star Air.
John King: Yeah, I think the airline would have been the key -- the bigger factor out of the two.
Michael Van Aelst: Okay. And then…
Dan McConnell: Hey, Mike, I pulled them over, Mike.
Michael Van Aelst: Last quarter, you talked about increasing competition, not allowing you to pass through some of the costs a little, and fully, at least at this point. And can you talk about how that competition has changed, if at all from Q2 into Q3, and what you're seeing now?
Dan McConnell: Yeah, as we're still taking a balanced approach, Mike, as I indicated, that said, the competitors are definitely increasing their pricing, just with the environment, as we're all kind of living and experiencing. And as I indicated the significance of it in the north. If they weren't passing it on, I'm afraid they'd be out of business. So definitely, there's more movement, and that's allowing, obviously us to follow suit.
Michael Van Aelst: Okay. And so, would you say that they're passing on a higher percentage of it now? Or is it like -- it seems like your costs have increased -- your cost inflation seems to have increased from Q2 to Q3, particularly on the OpEx side? So, are you seeing more --- are you seeing, like a similar amount of cost being absorbed let's call it from Q2 to Q3? Or did that decrease or increase?
Dan McConnell: I would say it's decreases, there's been probably more pass-through. But what you are seeing obviously utilities were a major factor. So that's probably what you're seeing in some of that bump.
Michael Van Aelst: Okay. All right. And the utility increases and the other OpEx increases that we saw that propped up the OpEx expense this quarter, is there anything in there that is short term in nature? Do you see all of this basically as the new norm, and you've got to cycle through that?
Dan McConnell: I'd say, it's probably the new norm that we'd have to cycle through. It's not getting -- I don't know if you know, I’m in Winnipeg, but it's minus 26 today, so heat is required.
Michael Van Aelst: All right, I'll leave it there. Thank you.
Dan McConnell: Thanks, Michael.
Operator: Thank you. [Operator Instructions] The next question is from Mark Petrie from CIBC. Please go ahead. Your line is open.
Mark Petrie: Yeah, thanks. Good afternoon. I just following up on that whole -- the topic of cost versus being able to pass on price. Just to be clear, this is still an issue, but it's not as significant as an issue as it was in Q2 or earlier in the year, is that the right way to characterize that?
Dan McConnell: Yes.
Mark Petrie: Okay. I guess, sort of with regards to the sort of shifts in consumer behavior that you're seeing, and it sounds like that's accelerated based on your comments, I guess, just confirm that that's true. And then curious if that's different in sort of the different markets that you operate in, and I guess that being sort of north and south and kind of remote versus just rural?
Dan McConnell: I'd say it'd be pretty consistent amongst all our markets. Everybody is looking for less expensive solutions in order to feed their families or to sustain their wellbeing. So, yeah, I would say it's pretty -- it's wide set, it's across all the stores.
Mark Petrie: Okay.
Dan McConnell: We're continuing to look at obviously solutions there and the solutions would be lower cost product, whether it be some other branded items that we can pass on to sustain margin, but then create a more effective solution for our customers. So that's work that's ongoing.
Mark Petrie: Yeah. That was sort of my next question, I guess is just the status of private label within your assortment, the percentage penetration now. I'm sort of -- obviously specifically to food, the percentage penetration now versus pre-pandemic, and if there's sort of accelerated efforts to continue to grow that?
Dan McConnell: Yes. That is -- well, as far as -- it is an opportunity that we're exploring, because we do think it's a -- it's, again a considerable value prop to our customers. But as far as our ratios of penetration now versus prior, intuitively I would say it's -- we got higher penetration now. But as far as the quantum, I couldn't give you that.
Mark Petrie: Okay. And the margin within the general merchandize business, does that -- do you think that there's an expectation of fluctuation within that based on the consumer behavior that you're seeing?
Dan McConnell: So, I think there's a -- sorry, could you repeat? Fluctuation…
Mark Petrie: Yeah, I guess what I'm getting at is if people are shifting spending from discretionary to staples, does that affect your profitability of your general merchandize business? Or do you sort of -- it affects sales and not so much margin?
Dan McConnell: It would affect the margin as well?
Mark Petrie: Yeah. Okay.
Dan McConnell: Yeah.
Mark Petrie: Sorry, no, go ahead.
Dan McConnell: I was just going to say, as I indicated, like, we have had to take some write downs on some of the inventory, but there's others of which that’s -- it's planned, as we talked about for particular big ticket. It's opportune time now. So, we have -- we're ready and – we’re inventoried and ready for selling season.
Mark Petrie: Yeah. Understood. Okay. Appreciate the comments. Thanks.
Dan McConnell: All right, Mark. Thanks.
Operator: Thank you. The next question is from Stephen MacLeod from BMO Capital Markets. Please go ahead. Your line is open.
Stephen MacLeod: Thank you. Good afternoon, guys.
Dan McConnell: Hello.
Stephen MacLeod: I just wanted to -- just with respect to your commentary around acquisitions, and new stores and things like that. Just curious through the economic weakness that we've been seeing, and you cited as well, in one of your in response to the questions about, if people aren't putting through price they're going out of business. Just curious if any potential acquisition opportunities have come up or accelerated over the last couple of quarters in any of your markets.
Dan McConnell: No macro -- look, no major acquisitions, Stephen. But there's definitely a lot of tuck-ins qualify that. There's definitely been some tuck-ins, that I indicated to you earlier that we've taken advantage of, and we see there to be a few more that we'll be looking at over the next number of quarters. And our eyes are open. And we're definitely -- we've looked at a lot of things, but we'll make sure that it's a strong -- it aligns with our kind of core competencies and our capabilities to ensure that we can add value and/or derive value from whatever acquisition we venture into. But I would say that there's no major acquisitions in the immediate future.
Stephen MacLeod: Yeah. Okay. No, that's right. And then, just with respect to the PFD in Alaska, did you -- do you think you realized the entire benefit from that in the quarter or is there some that may trickle into the next quarter?
Dan McConnell: We did derive a strong benefit in this quarter. And typically, it does trickle on into the next quarter. So, I would say, I would expect that we're going to still see some benefit from that in the fourth quarter, ramping up for some of the holiday season selling events.
Stephen MacLeod: Okay, that's great. Thank you. And then maybe just finally, with respect to general merchandize and your assortment. Given the consumer spending shifts that you're seeing, I would assume that holiday is a big general merchandize period for you. So just curious on any changes you've made to your assortment planning for Q4.
Dan McConnell: Okay, that's Q4. Yeah, well, -- repeat the end of the question, sorry, Stephen if you could.
Stephen MacLeod: Yeah, no problem. So, I was just wondering if you could -- if you have any changes to your general merchandise, assortment planning for the holiday period, given the shifts we're seeing in the consumer spending away from GM towards food.
Dan McConnell: No, I wouldn't say that I've seen any shifts currently. It’s -- purchases we did scale down as you recall. But we're expecting the same trajectory on our general merchandize sales throughout Q4. It's probably the best way to phrase it.
Stephen MacLeod: Yeah. Okay. No, that's helpful. Okay, that's great. Thanks, guys. Appreciate it.
Dan McConnell: All right. Thank you.
Operator: Thank you. The next question from Michael Van Aelst from TD Securities. Please go ahead. Your line is open.
Michael Van Aelst: Thank you. Just a follow-up. On -- in the international business, can you tell us what the gross margin change was there?
Dan McConnell: No, I probably wouldn't -- I wouldn't disclose that, Michael. I'll leave that to -- for you to kind of take a look and hypothesize. You're usually pretty accurate.
Michael Van Aelst: The 84 basis points that you told us before, was that Canada or was that overall?
Dan McConnell: That was overall. Yeah, that was overall.
Michael Van Aelst: Okay. And then, if you look at the change -- the drop in the EBITDA margin in Canada versus what we're seeing in the international markets, can you kind of compare and contrast the main factors behind the margin contraction in each?
Dan McConnell: Well, I've identified kind of globally, like what the contraction items are for each. And I would say that the benefits, as I indicated in the international were related to the PFD to the Alaska stronger performance. I think it’s probably -- that's the answer really. I mean, I outlined why we were stronger in our performances in Alaska, and why -- what the overall drags were on the operations, and I'd say you could attribute all those draws to not only the some of the international markets that we suffered in that regard, but also into Canada. And the fuel surcharges we talked about, obviously, that would be considerable draw to the inflation, some of the higher the inflation, some of the expenses. You can appreciate that fuel has us considerable impact not only from the heating, but from the distribution and freight. So, I think that that gives you…
Michael Van Aelst: And is fuel more of an impact in the north or in international?
Dan McConnell: North.
Michael Van Aelst: Okay. Great. Thank you very much.
Dan McConnell: The planes are less efficient than the ships.
Michael Van Aelst: Thank you.
Operator: Thank you. There are no further questions registered at this time. I will return the call back to Mr. McConnell.
Dan McConnell: Okay. Well, thank you. I appreciate the questions. And I hope everybody has a great holiday season, and we’ll be busy focusing on driving sales. So, have a great rest of the day. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.